Operator: Good morning, ladies and gentlemen. Welcome to our Q1 2024 Results Conference Call of ProSiebenSat.1 Media SE. Today’s conference is being recorded. Today’s call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtlander: Yeah. Thank you, Operator. And good morning, ladies and gentlemen, also from my side. And welcome to ProSiebenSat.1’s Q1 2024 results conference call, which will be hosted by our CFO, Martin Mildner. During the presentation, Martin will take you through the financial and operational performance of the Group and comment on our fully outlook. As you probably know, we already published preliminary quarterly figures on May 14, which have been confirmed by our actual results today. As always, the presentation will be followed by a Q&A session. With this, I now hand over to Martin.
Martin Mildner: Hi, Dirk. Thanks a lot, and good morning, everyone, also from my side and thanks for joining our Q1 2024 results call. Before we go into the details, let me give you a quick overview of our key financial highlights in the first quarter, which we summarized on Page #4 of our presentation. As expected, we closed the first quarter of 2024 with revenue growth across large parts of our portfolio. Overall, our Group revenues increased by 6% year-on-year to €867 million. Our Entertainment business and our non-co-activities each contributed about half of the Group’s revenue growth, while the ongoing strong growth in our segment Commerce & Ventures offset the unsatisfied performance of our segment Dating & Video. The Advertising business, which is particularly important for us, continues to recover. This positive trend was driven by higher TV co-advertising revenues on the one hand and the continued strong growth of our digital and smart advertising business in the DACH region on the other hand. Especially, Joyn has continued to grow strongly. Joyn’a AVoD revenues increased by 50%, while advertising revenues across the Entertainment segment grew by 5%. This shows that we managed to monetize our digital reach better and better. Group’s adjusted EBITDA increased by 35% to €72 million, despite significant higher program expenses. This increase is not only a result of our revenue growth. We are also seeing clear effects of our efficiency measures with respect to our cost structure. At the same time, the Commerce & Ventures segment more than quadrupled its adjusted EBITDA, driven by the digital platform on commerce assets Verivox and Flaconi. So, to sum it up. In 2023, we set a new course both operationally and strategically. These measures are now paying off. We are developing full in line with our full year targets and therefore we are able to confirm our outlook for 2024, which we communicated already in March. With this broader summary, let me now guide you through all of our financials for the first quarter of the year. Let me start on Page 6 with our Group level. As already announced on April 15, when we published preliminary figures, the start of 2024 has been very promising for ProSiebenSat 1, underscoring the effectiveness of our strategic approach. Group revenues increased by 6% to €867 million, reflecting the continued positive trend in our Advertising business and the strong growth in the Commerce & Venture segment. As I already mentioned before, our non-co-activities, i.e. Commerce & Ventures and Dating & Video combined, contributed about 50% to Group revenue growth. On a currency and portfolio adjusted basis, we saw a revenue growth of 7%. The Group’s adjusted EBITDA grew by 35%, or €19 million to €72 million, despite the announced significant increase in our program expenses. This significant development in earnings reflects both the Group’s revenue growth and our consistent cost management. Last year ProSiebenSat 1’s Group took targeted cost measures to make the organization leaner and more efficient. The cost program was fully implemented at the end of October last year, meaning that the resulting savings effects will materialize in the course of 2024 and were already clearly visible in the EBITDA of this quarter. Our adjusted net income has significantly improved by €22 million, mainly reflecting the development of the adjusted EBITDA. Our adjusted operating free cash flow saw a significant increase of €36 million to, €63 million, sorry, to €38 million. Let’s turn to Page 7 and take a closer look at our Entertainment business, most of -- which is our most important segment. Revenues in the Entertainment segment increased by 5%, both on a reported basis and on a portfolio and currency adjusted basis. Entertainment advertising DACH revenues increased by 5% in the first quarter of this year. TV core advertising revenues grew by 4% in Q1 2024, after already being close to the previous year’s level at the end of last year. At the same time, digital and smart advertising revenues continued to grow by 9%, mainly thanks to our streaming platform Joyn, which contributed the lion’s share of these revenue streams. Joyn increased its AVoD revenues by 50% year-on-year in Q1 2024. This shows that ProSiebenSat 1 is increasingly monetizing its digital reach. Our distribution revenues grew by 9% in Q1 2024, due to a higher reach and increased HD penetration through full coverage on all major distribution platforms, as for example our most recently announced deal with Deutsche Telekom on the Magenta TV. Revenues in Other’s business grew by 18% in Q1. This increase was mainly driven by the SVoD business of our streaming platform Joyn. Adjusted EBITDA in the Entertainment segment improved by 47% or €14 million to €45 million, despite the announced increase in programming expenses. At €242 million, programming expenses in the first quarter were 8% or €18 million higher than in the same quarter of the previous year. With a clear focus on exclusive local content and the associated increase in programming expenses, we aimed to strengthen our market share in linear TV and the growth of Joyn. The negative cost effect was more than offset by the positive revenue development of the high margin Advertising business and lower costs due to the efficiency program implemented last year. Please now turn to Page #8, where we are now coming to our segment Commerce & Ventures. This segment recorded a very dynamic revenue growth of 20% on a reported basis and even 23% on a portfolio and currency adjusted basis. Thanks to an improving market environment, our Advertising business within this segment, especially SevenVentures, increased by 4% in the first quarter of 2024. The Digital Platform & Commerce business, which is mainly related to the NuCom Group, grew by 23% in the first quarter. The main growth drivers were the beauty and lifestyle business with Flaconi and the consumer advice business with the online comparison portal Verivox. Both businesses achieved significant double-digit revenue growth. Verivox grew dynamically in a healthy market environment following the easing of the situation on the energy markets, while Flaconi also developed very positive despite continued consumer restraint. And I’d like to mention again that this development has to be seen in light of the already strong revenue growth developments of both companies during the last year, 2023, where Varivox was growing over the entire year by more than 100% and Flaconi by more than 20%. The decline in the experiences business is due to the deconsolidation and its following exit of Regiondo in June 2023. Its contribution to revenues in the first quarter of last year was €2 million. Looking at the development of adjusted EBITDA, Commerce & Ventures increased its previous year’s figures from €4 million to €17 million, which is an increase of more than 4 times. This was mainly driven by the revenue performance of Varivox and Flaconi. Another positive factor was the deconsolidation of Regiondo, which had contributed a negative result in the previous year, 2023. Let’s now have a look at the performance of Dating & Video on Page 9, which was, as I already said at the beginning, again not satisfying for us. Revenues of the Dating & Video segment totaled €107 million, which means a decrease of 9% on €10 million. Dating revenues decreased by 12%, partly due to the challenging competitive environment, but in addition revenues were impacted by the effects from the German Fair Consumer Contracts Regulation, which was introduced in March 2022. This particularly affects the subscription models of the Parship and ElitePartner platforms, and had not yet had its full impact in the same quarter last year. At the end of the first quarter of 2024, we assumed that all affected contract terms will now reflect the effects of the German Fair Consumer Contracts Regulation, and as of today, we do not foresee any further effects resulting from regulatory decisions. In the Video business, we managed to narrow the year-on-year decrease to 4%, representing an 18% subsequent growth compared to the last fourth quarter of 2023. Focusing Livebox on our owned and operated brands has had a good start to the year, with revenues from virtual goods growing by double-digit year-on-year. The adjusted EBITDA of the Dating & Video segment decreased by 21% in Q1 of this year. This year-on-year decline reflects the segment’s revenue performance, in particular the high-margin subscription model in the Dating segment. The ParshipMeet Group had already responded to the revenue situation last year, with cost adjustments and measures to increase efficiency, and was therefore able to somewhat counteract the revenue decline, especially in the Video business. Here, advertising campaigns and promotions for owned and operated apps MeatMe and Tagged supported growth, while streamer incentives lead to higher broadcaster fees. However, the already mentioned efficiency measures helped to mitigate the decline in revenues. So let me continue with comments on the financial leverage and net debt development of our Group on Page 10 of the presentation. At the end of the first quarter, the Group’s net financial debt amounted to €1,553 million, which represents a reduction of roughly €130 million compared to the end of Q1 last year. Our financial leverage ratio improved to 2.6 times at the end of the first quarter and is therefore at the lower end of the targeted range of 2.5 times to 3.0 times for the financial year 2024. On the right hand of our presentation, you can see the debt maturity profile of ProSiebenSat 1. As it shows, we use various debt financing instruments for the purpose of the Group financing. This Group financing is regulatory adjusted with respect to volumes and maturities. In this context, in April 2024, we extended the raised majority, i.e. €353 million, of the term loan tranche of the syndicated loan, which previously matured in April 2026, by a further year until April 2027. The remaining part of this term loan tranche of €47 million remains still due in April 2026. Let’s now take a closer look at the operational performance, starting again with our core business, Entertainment and Joyn. Our Entertainment platform Joyn performed quite well or very well, I would say, in Q1 and set a new record for the second time in a row. Joyn once again showed double-digit growth in all KPIs. First, an increase in monthly video users of 42% to 6.5 million. Second, the video view time in minutes grew by 21% to 9.2 billion. Thirdly, Joyn’s AVoD revenues increased by 50%. On the one hand, this success is driven by distribution deals, such as with Magenta, as already mentioned. These deals are increasing Joyn’s reach. On the other hand, the performance of Joyn is driven by lighthouse formats that attract large audiences. One example here is of course Germany’s Next Topmodel. The format has been watched on Joyn by more than 1 million viewers in March and we won’t stop here. We continue to focus on our ambition to establish Joyn as a leading, freely available entertainment platform for everyone in the German-speaking countries. The upcoming launch of Joyn in Switzerland in June of this year marks the next step on our way forward. And our strategy is paying off. Joyn is in the center of our digital activities and we are working with full speed on its expansion. This is why we are investing more in local and live content. With exclusive programs, we are sharpening our brand profile and we are strengthening our market position against multinational streaming providers. Over the course of the year, we will, as already indicated and reflected in our full year outlook, increase our programming expenses by around €80 million. In the first quarter, the programming expenses were up by €18 million. Our investments in local content are already showing results. In prime time, which is particularly relevant for the advertising market, the audience share improved to 20.1%. At the same time, we recognized an incremental increase in net reach with our top programs via Joyn. So please turn to the next page. What’s truly important, our local focus is appreciated by our viewers. We want to build on this success by introducing new reality and comedy formats in the upcoming months, such as the vampire comedy series, The Upir with Fahri. Yardim. And we offer several successful formats, such as The Landarztpraxis, now already in the second season. However, we also have to try out certain local formats first in order to know how they are received by our viewers and we realize that some of them are less successful, like Das große, in English, The Coastal Area, or Gestandet in den Flitterwochen, in English, Stranded on Honeymoon. Both formats did not perform as well as expected by us, but we are consistently working on it. Our content pipeline is full of great new formats. We will show them on our TV channels, as well as on our stream platform, Joyn. On Joyn, they add significant reach and they also allow for platform-independent consumption no matter where and when our viewers want to watch their programs. Let’s now move again to our Commerce & Venture portfolio. Over the last year, we have transformed our portfolio in order to increase revenue, but also adjusted EBITDA, and we did this with clear success. Today, we see a positive trend across the Commerce & Venture segment. In Q1, the segment grew very significantly and profitably. Especially, the digital platform and commerce portfolio with Verivox and Flaconi is performing really strongly. Both assets generated double digital revenue growth. While Varivox developed profitably in a sound market environment, Flaconi outperformed the growing online beauty market in Q1. This was not least supported by a brand campaign and improvements we made to our products. Based on the last 12 months, Varivox achieved revenues of €179 million and Flaconi exceeded the €400 million mark for the first time with €410 million. This represents a record figure for both companies and reinforces our belief that the same process we have initiated will be successfully implemented. As you all know and as discussed heavily before our Annual General Meeting last month, we are pursuing an active portfolio management with a clear aim of realizing synergies within the Group on the one hand and realizing the value of our large majority, but not core -- non-core business-related investments such as Varivox and Flaconi on the other hand. The proceeds from these kinds of disposals would significantly reduce the group’s net debt and our financial leverage ratio. At the same time, this balanced financial situation will allow us to invest even more in our core business activities. With this, let’s turn to the Dating & Video segment. In our Dating & Video segment, the focus of our live streaming business helped us to a good start to the year. After two challenging years, we saw an improvement in our owned and operated apps business in February and March. This growth in our Video revenues is driven in particular by a significant number of streamers who have switched from competitors’ platforms to our own apps. So let me conclude the presentation with our outlook for 2024, which you can see on Page 18, I think. When we look ahead to the following months, we have to take various effects into account. For example, the major sport events, the Summer Olympics and the European Football Championship. They will not be broadcasted by ProSiebenSat 1. In addition, there is seasonality resulting from the different and comparative figures for the previous year. After a weak first half of 2023, ProSiebenSat 1 has gained significant momentum towards the end of the year 2023. Even though the market and economic environment remains challenging, we are confident about the year 2024. Our strategy works. We close the first quarter in line with our full year targets. After a strong start to the year, we will continue to focus clearly on the strategically relevant business areas relating to our entertainment portfolio and we will continue our consistent management of costs, cash flows and, last but not least, the management of our portfolio strategy. What does it mean to our numbers? We continue to aim for a full year consolidated revenue of around €3.095 billion, with a variance of plus-minus €150 million. At the same time, we expect an adjusted EBITDA of €575 million, with a variance of plus-minus €50 million, therefore on the midpoint of the previous year level. As a conclusion, we therefore confirm our outlook for the revenues and earnings, and the same applies to all our other important financial KPIs. Needless to say that our outlook does not include any potential impact of our portfolio strategy with respect to any divestments and any other acquisitions. I am now looking forward to your questions and hand over back to, Dirk, I think or back to the operator. Please go ahead.
Operator: Sure. [Operator Instructions] We will take our first question. Annick Maas from Bernstein. Your line is open. Please go ahead.
Annick Maas: Good morning. My first question is, if you could give us a bit of an indication of what you see in terms of TV advertising trends in the second quarter? My second question is, so, I guess, Verivox and Flaconi are among the assets to be sold soon. Can you give us an idea of, if you are talking to someone at this stage? And then my third question is, you talked about Dating. Dating is still weak, particularly, I guess, in Germany. So, can you confirm that actually eHarmony and Meet are growing? If you could give us basically Dating trends per brand? Thank you.
Martin Mildner: So, with respect to your first question regarding the trends of the TV advertising market for the second quarter, I think, what we can see is that we had a little bit weaker April, which is, from our point of view, clearly related to the Easter time, which was last year in April and this year in March, and we see a clear good trend, even a better trend in May and also in June. So, therefore, we would assume that the second quarter is in line with the first quarter from the TV advertising business. Regarding your second question, whether we are in talks with potential buyers for Varivox and Flaconi, and there, I think my answer, you can assume that we are here in the process and we would not give any detail to the process so far. But as we stated also in the AGM, we are in the process, and of course, at the right point of time, we are also talking, of course, to potential buyers.
Dirk Voigtlander: And Annick, this is Dirk speaking. Maybe a quick comment also on the performance of the Dating & Video portfolio. We are usually not disclosing the performance on a per-brand basis, but it’s fair to assume that eHarmony also was not performing as good as in the past. The U.S. market is also very competitive, as you might have seen also in terms of the results of our larger peer match group. And in terms of the Video business, I think, it’s interesting to have a look on Page 16 in our presentation, where you can certainly see that Video revenues have declined from €53 million last year to €50 million this year. However, what is really important here is that our owned and operated business has shown growth of 8%. So we have here benefited from the streamers which have moved to our platforms and have contributed quite good growth. And it may be too early here to call this a trend, but it’s definitely a helpful development and might further limit any potential future decline in the video business.
Annick Maas: Thank you.
Operator: We’ll take our next question. Julien Roch from Barclay. Your line is open. Please go ahead.
Julien Roch: Yes. Thank you for taking the question. The first two ones is on Joyn. On Page 12, you gave us 9.2 billion minutes for Joyn for Q1. Could we get total minutes linear and non-linear in that country? And then the second question is, you highlight that Joyn revenue is up 50% in Q1. How much is it of the €66 million of digital and smart in Q1, and if it is up 50% but smart is only up 9%, what is declining or not growing a lot? And then last question on Verivox and Flaconi. I get your answer. You’re in the process. You won’t comment. But is there a minimum price you want? Are you willing to walk away from selling those assets if the price is not good enough and what would be plan B in that case? Thank you.
Dirk Voigtlander: Julian, let me maybe take the first question in terms of Joyn’s video performance. The €9.2 billion, we are not disclosing the share of total video view time. However, I think it’s interesting, what I can say is that, the total video view time of all of our digital video platforms has contributed a mid-to-high single-digit share to the total video view time of the Group and Joyn is obviously one of the major contributors to this performance. But as you know, this is something we are working on and maybe in the future we will also provide more details. But for you, I think it’s important to know that Joyn is the main driver of our digital video performance and we would like to see if we continue to do so.
Martin Mildner: Can we take the second question as well?
Dirk Voigtlander: Yeah. Maybe let me also take the second question in terms of revenue share of Joyn. You are right. Obviously, the digital and smart advertising revenues are not up as much as Joyn. This is due to the fact that Joyn last year only contributed 15% so far. However, of the total digital and smart advertising revenues, however, with a 50% increase, we have now exceeded a level of 20%. Also here, it’s still not the lion’s share of our digital and smart advertising revenues, but it’s the main revenue growth contributor. What you should also keep in mind is that last year was still benefiting from digital advertising revenues which were related to the NHL. As you might know, we lost the rights to our key competitor, RTL, and last year this was still quite an important business also for our digital operations which has led to a decline in, let’s say, non-Joyn or non-addressable TV advertising-related revenues.
Martin Mildner: Okay, Dirk. And then let’s take me to the third question which is really a strategic and relevant question, Julien, but I think you asked whether we have a minimum price and what’s happening if the price is not reached and what are our fallback scenarios. I would really like to give you some more flavor on this, and because, first of all, we are talking about two companies, is Verivox and Flaconi which are really developing quite well and I have stated several times that these companies are not loss-making companies. We are not talking about fire states. They are contributing to our earnings, so therefore we are, first of all, really happy with it. We always state clearly that they are not in our core strategy, that they are non-core assets and we like to sell it. In fact, we like to concentrate on our core business in the Entertainment segment. And we also stated during our preparation of the AGM that we are clearly thinking from a commercial point of view, our net debt is really related or can be seen as an acquisition financing for these kinds of three assets, including also the ParshipMeet Group. And if you then look at our refining structure and our maturity, I think, it is clear that this will become relevant in 2027 so that we have now a lot of time for a clear and structured process and we are, due to the environment and due to the performance of the business, really confident that within this timeframe we are really happy and seeing a good way to exit on these companies for a fair valuation. And I think this is what we like to achieve, a fair valuation, and I always say a fair valuation is if the buyer is saying he pays a little bit too much and we are saying we were getting a little bit not enough. And so therefore this is what we like to reach, a fair valuation, and during the process we will find out what a fair valuation maybe means, but currently it is from our point of view too early to give any indication on it. And last but not least, I’d like to highlight again that in all of the three assets we agreed with General Atlantic on a preferred share mechanism where we have in total more or less 700 million preferred shares and that means from every euro we were getting in from the proceeds, 700 million are first going to us. So therefore this has also always taken into account that you cannot only look at our stake and you comment in ParshipMeet Group, but that you also have to always consider the preferred share mechanism on this. In fact, if there is no catch-up or whatever, these kind of proceeds are always going firstly to us. I hope this was a long answer, but hopefully a little bit more clarity for you.
Julien Roch: Yes. Very clear. Thank you.
Operator: [Operator Instructions] We will take our next question. Conor O’Shea from Kepler Cheuvreux. Your line is open. Please go ahead.
Conor O’Shea: Yes. Thank you. Good morning and thanks for taking my questions. Three quick questions from my side. So, firstly, just to clarify, when you said that the second quarter, you expect the second quarter advertising to be in line with Q1, do you mean by that the growth should be in line, year-on-year growth? Is that what you mean, so we should expect mid-single-digit for the overall quarter-- second quarter in -- let’s say in German advertising at least? Then the second question, I wonder if you could give us some more details about the Magenta distribution deal with Deutsche Telekom. When it was signed, was it a factor for the whole first quarter and which revenue lines is it improving overall? And then a third question on the Dating business, now that you say that the regulatory drag should be fully cycled through in the first quarter for the German business, would you expect the German business to be broadly stable from the second quarter on or are there other factors dragging revenues down? Thanks for your questions.
Martin Mildner: Thank, Conor, for your questions. Maybe I’ll start with the first one regarding the development of the second quarter and our linear advertising revenues. So it was percentage-wise or percentage perspective not on a total number perspective.
Conor O’Shea: Yeah.
Martin Mildner: So we are assuming that from a growth perspective we are growing in the same percentage as in the first quarter probably.
Conor O’Shea: Okay.
Martin Mildner: On your third question regarding the regulatory impact on the Dating & Video business in Germany. Yes, of course, we hope and we think that it is now washed out after the new law is in place for at least 24 months and that we are then stabilizing the business again and hopefully also growing the business again, but of course, on a lower level than before.
Conor O’Shea: Yeah.
Martin Mildner: But this is clearly what we envisage that due to the new regulation that the level is lower but that we are then able to grow again. And maybe the third one is taken by Dirk.
Dirk Voigtlander: Maybe on the second question.
Conor O’Shea: Yeah.
Dirk Voigtlander: Exactly. Yeah. Hi, Conor. This is Dirk speaking.
Conor O’Shea: Hi, Dirk.
Dirk Voigtlander: Let me comment on your second question regarding Magenta TV. So Joyn has been included on the platform mid-February. This is primarily an AVoD deal which means people who are Magenta TV subscribers have free access to Joyn’s content which belongs to ProSiebenSat 1, which also means that the revenues related to this deal will primarily become visible in the digital and smart ad revenue line. So this is really about increasing the reach of our digital platforms and will therefore increase also the ad revenues we are generating on that basis. However, there is also currently some tailwind for the distribution business which you might have also seen in the first quarter, an increase of 9%. This however is more related to the elimination of the so-called ancillary cost privilege here in July which leads to the fact that many cable households now have to look for an alternative for their previous cable subscription which was included in the rent. So households which now reach out to their cable operator or IPTV provider they often sign up to a somewhat more expensive product which also often includes HD or catch-up and things like that which leads to incremental distribution revenues also for us. And what is also interesting the fact that Joyn offers a large number of free live TV channels. It’s actually also a free alternative for some of the SVoD or subscription-based products, i.e., even if people will not sign up only for that reason it’s an opportunity for many households to continue to watch linear TV without signing up for any other service.
Conor O’Shea: Great. So the second effect is permanent and then the boost to AVoD was a factor for half the first quarter so there should be more -- even more of a boost.
Dirk Voigtlander: No. I think…
Conor O’Shea: No.
Dirk Voigtlander: I would not expect here already a meaningful contribution from Joyn in the first quarter only because of the Magenta TV deal, but I think an increasing awareness so the more Magenta TV users know that there is now Joyn also on the platform and that all of our content can be accessed this will over time then increase the usage also on Magenta TV. I would not say that a significant share of the revenue growth in Q1 was driven by this particular contract.
Conor O’Shea: Okay. Understood. Many thanks.
Dirk Voigtlander: Thank you, Conor.
Operator: [Operator Instructions] We’ll take our next question. Nizla Naizer from Deutsche Bank. Your line is open. Please go ahead.
Nizla Naizer: Great. Thank you. I have two questions. The first one’s on Flaconi. Impressive growth in Q1. Could you give us some color on how you expect the growth trajectory to evolve over the rest of the year and has Flaconi reached profitability or could you give us some color on what the margin profile is like in the business? That would be great. Secondly, would you give us some color on how you viewed the recently concluded AGM and the final decisions would be really interesting to hear your perspective on the final outcomes and I guess the future of the business? Thank you.
Martin Mildner: Nizla, thanks for your questions. Your first question with respect to Flaconi. I think from a growth perspective we really anticipate that we have probably the same momentum as in 2023 on an entire year perspective so growing hopefully in the same range as last year. And from a profitability perspective, last year we were already on adjusted EBITDA level positive and this trend hopefully will also continue and that we are having also the improving cost measurements which then also increasing the margin. But to give you numbers, I think, this is a little bit too early to reflect on this, but I think we are really, really happy about the revenue growth perspective and from my point of view especially in this online and beauty segment the revenue growth is still the most important part for the business and last year we already shown that we are able to run this business profitably and if we are able to show this this year again I think then everything is really on a green light for an excellent performance of Flaconi. Your second question regarding the AGM. I am not quite sure what you mean with the final outcome. I think there are different topics in the AGM and probably you are relating to the most relevant counter proposals or proposals by MFE, so you know that the spin-off or the AGM decided not to go for the preparation of the spin-off. We clearly said that we from a company perspective thinking that this is not in the interest of all shareholders and if you do the math MFE have slightly below 30% shares, PPF is close to 15%, so in total 45%, but we still have remaining 55% outstanding shareholders and we as a company thinking that we have to keep all interests of all shareholders in mind. And we are clearly of the opinion that the way to make the disposals within ProSiebenSat 1 is a better way to reduce our financial net debt and also the financial leverage ratio and therefore we are thinking that we have the backing of the majority of the shareholders and also MFE clearly said that the disposal is still a way they can think about even if they like to see the preparation of a spin-off if the disposals are not taking this year or next year. So therefore we are happy about the outcome on the spin-off and with respect to the new members of the Supervising Board I think this is clearly a way where we are absolutely supportive to work in a really close relationship with the new members of the Supervising Board. We had also our first Supervising Board Meeting, and therefore, we hope that they can contribute to us. It is clear that the administration made a different proposal but the AGM clearly said that they would like to have the new members on board and we are absolutely supportive to it. And we are looking forward to work together with them in a close manner because we have a lot of things to do in this year with respect to the strategic view of bringing Joyn and our TV channels back on track and also with respect to the disposals, so therefore we are really looking forward to it and therefore it was not what we wished before the AGM but now we are really looking forward and happy that we are now able to fulfill our strategy.
Nizla Naizer: Great. No. Thanks. That’s very helpful, Martin.
Operator: [Operator Instructions] There are no further questions at this time. Mr. Dirk Voigtlander, please, I will turn the call over to you for any additional or closing.
Dirk Voigtlander: Yeah. Thank you, Operator, and thank you, ladies and gentlemen, for participating in today’s call. As always, my colleagues in the Investor Relations team and myself will be available for follow-up questions shortly. Thank you very much and good-bye.
Operator: This conclude today’s call. Thank you for your participation. You may now disconnect.